Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Kadant Third Quarter 2019 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Michael McKenney, Executive Vice President and Chief Financial Officer. Please go ahead, sir.
Michael McKenney : Thank you Wes. Good morning everyone and welcome to Kadant's Third Quarter 2019 Earnings Call. With me on the call today is, Jeff Powell, our President and Chief Executive Officer. Before we begin, let me read our Safe Harbor statement. Various remarks that we may make today about Kadant's future plans and expectations, financial and operating results and prospects are forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, and uncertainties that may cause our actual results to differ materially from these forward-looking statements, as a result of various important factors including those outlined at the beginning of our slide presentation, and those discussed under the heading Risk Factors in our Annual Report on Form 10-K for the fiscal year ended December 29, 2018 and subsequent filings with the Securities and Exchange Commission. In addition, any forward-looking statements we make during this webcast represent our views and estimates only as of today. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views or estimates change. During this webcast, we will refer to some non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is contained in our third quarter earnings press release and the slides presented on the webcast and discussed in the conference call, which are available in the Investor section of our website at www.kadant.com under the heading Investor News. With that, I will turn the call over to Jeff Powell, who will give you an update on Kadant's business and future prospects. Following Jeff's remarks, I'll give an overview of our financial results for the quarter, and we will then have a Q&A session.
Jeff Powell : Thanks Wes, thanks, Mike. Hello everyone. Thank you for joining us this morning to review our third quarter results and to discuss our outlook for the remainder of the year. Overall, we performed well and achieved a solid EPS beat and are on our way to another record year of financial performance.  I'll begin with our financial highlights for the quarter. Our Q3 bookings increased 4% to $171 million and revenue was up 5% to $174 million, led by our Material Handling business. Our gross margins were 43% and adjusted EBITDA was $32 million or 18.6% of revenue.  Adjusted EBITDA was down 4% from a record third quarter of last year. Adjusted EPS was $1.41, well above the top-end of our guidance of $1.20 to $1.26. Cash flow from operations was strong at $26 million, up 51%, compared to third quarter of last year. And finally, we finished the quarter with net debt of $267 million and a leverage ratio of 2.07.  As you can see on slide 6, the stronger dollar had a significant impact on our foreign currency translation. Also of note was the strong contribution from our Material Handling acquisition completed earlier this year. Excluding FX and acquisitions, both our internal revenue growth and internal growth in bookings were down 5%. For Parts and Consumables, our internal revenue growth decreased 1% while bookings decreased 3%. On Slide 7, you can see our Q3 bookings were up 4% and revenue was up 5%, compared to the third quarter of last year and down slightly sequentially from last quarter's record revenue. We benefited from solid bookings in our Stock Prep and Fluid Handling product lines in North America, Europe and South America. However, these were more than offset by declines in China, and in our Wood Processing segment, which I will discuss in more detail when I review our regional performance. As many of you know, for our geographic diversity, combined with our strong Parts and Consumables business helps buffer against global economic volatility. This diversification is a key strategic attribute of our business.  Parts and Consumables were 61% of revenue for the quarter, up 14%, compared to the same period last year. Our Material Handling acquisition led this growth, as Parts and Consumables revenue was relatively stable in all of our markets with the exception of our Wood Processing business which saw a decline due to softness in lumber pricing and demand. Parts and Consumable bookings were up 11% to $101 million. As was the case for revenue, the largest growth contributor was our Material Handling acquisition. Excluding this acquisition and the impact from FX, bookings were off 3% for the quarter. That said, our year-to-date Parts and Consumables organic bookings, excluding FX are up from last year. Next, I'd like to review our performance in the major geographic regions where we operate. I will begin with North America where Q3 revenue increased 24% to $92 million. This growth was led by our Material Handling product line. Excluding the impact of FX and the acquisition, revenue was down 1%.  Bookings in North America were $89 million, up 15%, compared to Q3 of last year. Our acquisition made a significant contribution to this increase. Excluding the impact of FX and the acquisition, bookings were down 7%. We saw solid growth in our Stock Prep and Fluid Handling product lines and decreased bookings in our Wood Processing equipment in North America, which primarily serves the housing market. Capital project activity in the Wood Processing sector has softened, as we stated during our last earnings call and we are seeing less demand for our capital products in 2019, compared to the historic demand that we experienced last year.  Before I leave North America, I want to comment on a recent and positive development within our Material Handling segment. During the third quarter, we entered into an agreement with a customer for a mining project that could represent up to $18 million in new business for us. We have booked orders under this agreement valued at $4 million already and another $7 million after the third quarter close. The market outlook for mining, aggregate and food sectors looks promising for 2020 and we are encouraged by the forecasted growth. Next, let's turn to Europe. Slide 10 shows our revenue and bookings performance in Europe. Even with the weak export markets in Europe, we are performing well in this region as our customers continue to pursue new projects and demand replacement of parts. Third quarter revenue was up 9% to a record $49 million. Excluding the negative impact of FX, revenue was up 14%. All of our product lines, except for Fluid Handling were up in Q3. Bookings in Europe was up 4%, compared to the third quarter of last year, and up 9% excluding FX. Strong demand for our High-Performance Balers and our Fluid Handling product lines led this bookings growth. Next, Asia, the market in Asia which is dominated by China continued at a similar pace as the beginning of 2019. A general slowdown in both bookings and revenue since mid-2018 can be seen on the chart on slide 11.  Our revenue in Asia was down 36% from last year's record $33 million and Q3 bookings were down 17%. This is a challenging comparison due to the record strength of Q3 of last year.  As we discussed last quarter, project activity and containerboard in China has slowed and our bookings reflect this slower pace of investment in new capacity. On a more positive note, investment in tissue production and several industries where we provide DCF and Fluid Handling products have been growing. These markets, although smaller than containerboard, are providing nice orders for our high-value doctoring and Fluid Handling product lines.  I returned from China few weeks ago and I was pleased with the discussion with our customers and our business leaders there. Many of those I spoke with, have the expectation that additional investments are needed, as strategies are finalized to relieve the fiber shortages resulting from the China waste paper ban. As discussed on prior earnings calls, these new processing facilities are being built outside of China. As of the end of Q3, we have now supplied or received orders to supply to supply 18 such systems and expect most of them to come online over the next twelve months.  Turning now to the rest of the world results, our bookings in the rest of the world were strong in Q3, second only to the record-setting bookings in the third quarter of 2018. During the quarter, we booked a number of smaller capital orders and one large Stock-Prep System order, which helped drive our near-record bookings performance in Q3.  While Q3 revenue was down 18%, we did see solid revenue growth in our DCF and Fluid Handling product lines. I would like to conclude my remarks with a few comments on our guidance for Q4 and the full year. Our performance to-date has positioned us well for another record year of financial results. Our Material Handling acquisition provided a nice lift to our financial performance and all of our businesses continued to have solid operating metrics. While we are performing well, three factors continued to be a challenge. The first is a stronger U.S. dollar, which negatively affects our results when we translate foreign currencies into US dollars. The second is the tariffs associated with U.S., China trade dispute, and the third is a global economic slowdown, which we believe is tampering investment and capital projects. We expect the full year EPS impact of FX and tariffs to be $0.50, the effect of which, I believe obscures the underlying performance of our business this year.  And finally, I wanted to briefly comment on our plan to terminate our defined benefit pension plan, which we expect will be completed in the fourth quarter. We estimate the cost will be approximately $7 million or $0.64 per share to terminate the plan. This is expected to save us approximately $1.6 million annually, and eliminates the risk and uncertainties associated with these plans. Mike, will provide more details in his remarks.  For the full year, we are lowering our revenue guidance to $694 million to $698 million from our previous guidance of $700 million to $710 million, due largely to the impact of FX translation. We expect to achieve GAAP diluted EPS of $4.38 to $4.46, revised from our previous guidance of $4.97 to $5.09. This revised EPS guidance includes $0.64 for the abovementioned pension termination cost.  We expect adjusted diluted EPS, which excludes the pension termination cost among other things to be $5.30 to $5.38 for 2019, revised from our previous guidance of $5.26 to $5.38. For the fourth quarter of 2019, we expect to achieve GAAP diluted EPS of $0.59 to $0.67 on revenue of $172 million to $176 million.  Excluding the pension termination cost, I just mentioned, we expect adjusted diluted EPS of $1.23 to $1.31 for the fourth quarter.  I will now pass the call over to Mike for some additional details on our financial performance in Q3.
Michael McKenney : Thank you Jeff. I'll start with our gross margin performance. Consolidated gross margins were 42.8% in the third quarter of 2019, down 130 basis points, compared to 44.1% in the third quarter of 2018 due to the inclusion of the lower gross margin profile of our Material Handling business, acquired in the first quarter of 2019. Our Parts and Consumable revenue represented 61% of total revenue in the third quarter of 2019, compared to 56% in the third quarter of 2018.  Now, let's turn to Slide 16 and our quarterly SG&A expenses. SG&A expenses were $47.1 million in the third quarter of 2019, up $4.2 million from the third quarter of 2018. This included an increase of $4.7 million from our acquisition and a decrease of $0.8 million from a favorable foreign currency translation effect. SG&A expense, as a percentage of revenue increased to 27.1% in the third quarter of 2019, compared to 25.9% in the third quarter of 2018. Let me next turn to our EPS results for the quarter. In the third quarter of 2019, GAAP and adjusted diluted EPS were both $1.41. In the third quarter of 2018, GAAP diluted EPS was $1.64 and our adjusted diluted EPS was $1.53. The $0.11 difference relates to $0.03 of restructuring costs, and a $0.14 discrete tax benefit that related to the reversal of tax reserves associated with uncertain tax position, covering multiple tax years. The decrease of $0.12 in adjusted diluted EPS in the third quarter of 2019, compared to adjusted diluted EPS in the third quarter of 2018 consists of the following: $0.13 due to a lower effective tax rate, $0.03 from lower interest expense, after allocating a portion of interest expense to the acquisition; $0.03 due to lower operating expenses; $0.01 due to higher gross margins and $0.01 due to lower non-controlling interest expense. These increases totaling $0.21 were offset by $0.33 due to lower revenue.  Collectively, including all the categories I've just mentioned was an unfavorable foreign currency translation effect of $0.05 in the third quarter of 2019, compared to the third quarter of last year due to the strengthening of the U.S. dollar.  Let me also take a moment to compare our adjusted diluted EPS results in the third quarter to the guidance we issued during our July 2019 earnings call. Our adjusted diluted EPS guidance for the third quarter of 2019 was $1.20 to $1.26. We reported adjusted diluted EPS of $1.41.  The $0.15 increase over the high-end of our guidance range was a result of $0.09 tax benefit, primarily related to the reversal of tax reserves associated with the current year's expiration of uncertain tax positions and, to a lesser extent the exercise of employee stock options. In addition, lower SG&A, interest expense, and a modest improvement in gross margins also contributed to guidance beat. As I mentioned on the last call, there could be additional tax benefits over the next three years to four years associated with the exercise of previously awarded employee stock options, as unexercised options reach their 10-year expiration dates. Slide 18 presents our quarterly adjusted EBITDA performance. Quarterly adjusted EBITDA was $32.3 million or 18.6% of revenue, compared to $33.5 million or 20.2% of revenue in the third quarter of 2018. Adjusted EBITDA for the first nine months of 2019 was $95 million or 18.2% of revenue, up from $11.8 million or 14% compared to $83.2 million or 17.7% of revenue for the first nine months of 2018. The increase in adjusted EBITDA over 2018 is a result of contributions from the Material Handling acquisition. Now, let's turn to our cash flows and working capital metrics starting on Slide 19. Cash flow from operations was $25.7 million in the third quarter of 2019, compared to $17 million in the third quarter of 2018. Free cash flow increased to $23.6 million, compared to $14.4 million for the third quarter of 2018.  For the first nine months of 2019, free cash flow increased 31% to $51.9 million compared to $39.7 million in the first nine months of 2018. We had several notable non-operating uses of cash in the third quarter of 2019. We paid down bank debt by $27.2 million, paid a $2.6 million dividend on our common stock and paid $2.1 million for capital expenditures. Looking at our overall working capital position, our cash conversion days measure, calculated by taking days in receivables plus days in inventory and subtracting days and payables was 122 at the end of the third quarter of 2019.  Working capital as a percentage of revenue was 14.6% in the third quarter of 2019, compared to 15.4% in the second quarter of 2019 and 11.1% in the third quarter of 2018. Net debt, that is debt less cash at the end of the third quarter of 2019 was $266.9 million, up from net debt of $135.6 million at the end of the third quarter of 2018, but down sequentially from $288.7 million at the end of the second quarter of 2019. As I mentioned on the last call, during the third quarter, we repatriated $71 million of cash from our European operations. $56 million of this was through euro-denominated borrowings under our credit facility with the remainder coming from cash on hand. These funds were used to pay down U.S. debt that was outstanding under our credit facility.  As a result of this, we have paid down $15 million of debt, which is included in the $27.2 million that we paid down this quarter and exchanged higher interest rates associated with the U.S. debt for lower interest rates on euro-denominated debt. As a result of the lower interest rates on the euro-denominated debt, we estimate annual savings of approximately $1.1 million at current market interest rates. In addition, we expect it will be easier for us to utilize the cash flows from our European operations to pay down debt.  As you can see on slide 22, our leverage ratio calculated in accordance with our credit facility, decreased to 2.07 at the end of the third quarter of 2019 from 2.19 at the end of the second quarter 2019. Under our credit facility, this ratio must be less than 4, for three quarters following the Material acquisition as defined in our credit agreement and then the ratio requirement steps down to less than 3.75.  A few comments on our guidance for 2019. In 2018, we froze and began the process of terminating a defined benefit pension plan and the supplemental benefit plan at one of our U.S. operations. Participants in the pension plan were given the option to receive either a lump sum payment or an annuity. On past calls, we mentioned a related settlement charge would likely be incurred late in 2019, part of which would be cash and part of non-cash. We have now included in our 2019 U.S. GAAP guidance an estimated settlement loss of $0.64 in the fourth quarter, associated with the expected settlement of this pension plan. This charge consists of an estimated pre-tax settlement loss of $7.2 million, which includes additional cash funding of $5.1 million for the purchase of annuities and associated net tax provision and an associated net tax provision of $0.1 million.  The associated net tax provision includes a $0.9 million tax benefit from the additional cash funding, offset by $1 million of tax expense, primarily related to the settlement of amounts in other comprehensive income. The $0.64 charge has been excluded from our adjusted diluted EPS guidance for the fourth quarter of $1.23 to $1.31 and for the full year of $5.30 to $5.38. Both the settlement loss and additional cash required to fund the pension plan termination are higher than anticipated due to, one; the very significant fall in long-term interest rates from the fourth quarter of 2018 to today, and two; significantly more planned participants than expected chose to receive annuities, rather than cash lump sums in connection with the termination. We anticipate a supplemental benefit plan will be cash-settled in early 2020. The liability for this is already reflected on the balance sheet at $2.4 million and we do not expect any material P&L impact associated with this settlement.  With the progress we've made on paying down debt of nearly $40 million so far this year, and lower interest rates in part resulting from having exchanged U.S. debt for euro-denominated debt, we now estimate our net interest expense for the year will be approximately $12.8 million to $13 million. Our tax rate for the third quarter of 2019 was 24%, which included a tax benefit of $0.02 associated with the exercise of employee stock option awards and a $0.07 benefit related to the reversal of tax reserves associated with current year's expiration on certain tax positions. We expect our tax rate for the fourth quarter of 2019 to be approximately 28% to 29% after excluding the impact of the pension plan settlement. This does not include any potential tax benefit associated with the exercise of employee stock option awards.  That concludes my review of the financials, and I will now turn the call back over to the operator for our Q&A session. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Chris Howe with Barrington Research. Your line is now open.
Chris Howe : Good morning, Jeff and Mike.
Michael McKenney : Good morning, Chris.
Jeff Powell : Good morning, Chris. 
Chris Howe : Hey, just going over some of the comments that you've mentioned, just as we think about Parts and Consumables, you mentioned on an organic basis, it was down, but your expectations are for the year for it still to be up for it still to be up. On a geographic basis, can you comment on the performance of Parts and Consumables, and - in the quarter? and what you're seeing there as far as we look forward?
Jeff Powell : Yes, I would say that our Parts and Consumables actually are holding up quite well, generally speaking, which is an indication of the operating rates that our customers are currently experiencing. The one area where our Parts and Consumables is down is in China and that's because of course there has been a reduction in the runrates there and there has been a reduction in the amount of recycled material that they are processing.  And we are in the process of building these new processing facilities over there in Southeast Asia, but, most of them, the vast majority have not come online yet. So, they are not generating parts yet. So, we definitely have seen a reduction in our parts in China associated with this transfer of the initial fiber processing from Mainland China to Southeast Asia, as well as U.S. I would say, parts in Europe actually have been quite good for us. Some areas surprisingly strong. And in the US is holding its own, I'd say with the exception of the Wood Processing, which is down a little bit because the operating rates are down some on the Wood Processing side. But generally speaking, I would say, the Parts and Consumables globally are holding up quite well.  We are kind of flat with the last year, up slightly from last year when you kind of take out FX and everything else. So, we're actually pleased with that and we think that indicates that our customers are still operating at a healthy rate from an operations – from a run rate standpoint.
Chris Howe : Yes, that's great. And then that leads me to my next question. Just about Asia, more specifically, China. The success that you're having in capital equipment orders outside of China, can you give an update, where are we, as far as the timeline and where are we in regard to offsetting the current fiber shortage with the 18 coming on? And what are some key inflections or bookmarks that we should pay attention to as we monitor the environment there?
Jeff Powell : So, let me give you a couple of data points. In 2016, before the waste import ban was implemented and the cleanliness standard was implemented, China imported about 30.4 million tons of wastepaper. In 2017, that was down to 25.7 million tons as the cleanliness standard started to be applied. In 2018, that dropped down to 18.7 million tons and in 2019, through October there is 11 million tons that have been permitted.  So, that gives you a sense that this year, we are looking at possibly a third as much imported waste, as they had in 2016. Now, I was over in China few weeks ago and actually had dinner with the Head of the China Paper Association and he tells us that in fact this ban will go forward. They'll continue to reduce the import permits next year and that will be completely eliminated in 2021.  So, if you look at the 30 million tons that they were importing in 2016, you can say okay, they've got to somehow replace 30 million tons of fiber. Today, the 18 systems that we've received orders for, which I think is the vast majority of all the orders have been placed, it only represents about 4 million tons replacement. So, you can see that, if in fact, they've got to replace 25 million tons to 30 million tons, we're in the early stages. I think in the last call, I said, we were kind of in the second inning – first or second inning of this and I would say that's still the case. What they are doing is, they are starting up these systems and they are making sure that this works, because they have to shift this processed fiber into China and get it into the machine before it starts to have biological activity start to occur.  So, they've got a very short timeline between processing the fiber and shipping it to Mainland China to get it in and I think they want to make sure that in fact, that conceptually this worked that they could do that. And I think they are having success in doing that. And so, we are starting to see more investments and more project activity associated with that. So, I think over the next couple of years, assuming they stick with this particular strategy of putting these processing plants in these Southeast Asia countries, there is going to have to be a fair amount of activity to replace the shortfall.  Now, they are also buying some idle mills in the U.S., and in this case, they are going to dry the pulp and send it over in a dry form. You have to do that because of the length of time that takes to get it from here to China. And so, we are seeing that come online too, but, in reality, it still isn't anywhere near replacing the amount of fiber they are going to need.  Now, their fiber requirements have decreased a little bit. Their business is off a few percent, and so, of course their overall production rate is down accordingly. But still, there is a quite a bit of tonnage that still has to be replaced over the next, I would say 24 months to 36 months.
Chris Howe : Great, that's helpful and my last question. Thanks Jeff. My last question is for Mike, your SG&A came in ahead of my expectations. You're at $47.1 million. I was around $48 million. Can you talk about the different expense line items, as we look forward to the fourth quarter? And more specifically, further out, what type of leverage opportunities that you see here?
Michael McKenney : Well, so Chris you had modeled it at $48 million and we came in at $47.1 million?
Chris Howe : For SG&A? Yes.
Michael McKenney : Yes, yes. 
Chris Howe : Yes. 
Michael McKenney : I think for the fourth quarter, we'll probably be around that level. So, I think that's a pretty good marker for the fourth quarter activity. In terms of operating leverage, at this point, it's very much contingent on sales volumes.
Chris Howe : Okay. That's all I have for right now. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Walter Liptak with Seaport Global. Your line is now open.
Walter Liptak : Hi. Thanks. Good morning guys. 
Jeff Powell : Good morning, Walt. 
Walter Liptak : I wanted to ask a follow-on about the southeast Asia processing plants. So – and just to clarify, so these 18 systems that you called out, you've already booked those orders or are those – or that are… 
Jeff Powell : And I would say, Walt, roughly half of those have been delivered already.
Walter Liptak : Okay. Okay, great. And the other half, I guess, finish up over the next 12 months, that was what you're comment was?
Jeff Powell : Yes.
Walter Liptak : Okay. But, it sounds like, there is potentially significant more orders behind those 18 to get enough wet fiber into China over the next couple of years. Is that - so that's what you guys are talking about?
Jeff Powell : Yes, I mean, like I said, they've seen a little bit of a slowdown in their economy and as well as their exports. So, their demand probably isn't where it was in 2016 when they brought in 30 million tons and of course, they continue to try to increase their recovery rate within China although they are kind of, I think starting to bounce up against the top of the limit of that. But, there is still substantial fiber requirements that they are going to have to replace. And so, we expect that we'll have to get that somewhere bringing in pulp doesn't really work for them in the long run. So, we expect that there is going to be, as I said earlier, a fairly significant investment requirements somewhere to offset this loss of imported fiber.
Walter Liptak : Okay, great. What was the value of the 18 systems that you've already booked orders on?
Michael McKenney : It is roughly $14 million-ish
Walter Liptak : Okay, great. And how many tons do you think that that helped bring back online into China?
Jeff Powell : Somewhere between 3 million tons and 4 million tons.
Walter Liptak : Oh I see, what you're saying, so, there is a long way to go to fill the 30 million?
Jeff Powell : Yes.
Walter Liptak : Okay, great. Okay. And any visibility on the next slug of orders of orders that might start coming in from China? I heard the concern about the economic issues. But – or is this something where we can start seeing orders next quarters or is it an unknown kind of event for the next round of orders?
Jeff Powell : Obviously, we are constantly engaging our customers over there, discussing projects. I don't know that we are ready to forecast exactly when and if they may occur. But there is ongoing discussions in activity.
Walter Liptak : Okay. All right. Fair enough. I wanted to ask…
Michael McKenney : Walt, I wanted to mention now, because I was looking at a schedule here. That $14 million that I referenced, that's actually what's left to be delivered. You were asking what the aggregate value was I would say it's roughly twice that.
Walter Liptak : Oh, wow. Okay. 
Michael McKenney : Yes. 
Walter Liptak : All right, great. So $28 million for 18 systems. Okay. I wanted to ask on the Material Handling order. Congratulations on that - those orders starting to come in. How is the margin coming through for these? Are these going to be, I guess, a normal profitability or because of where we are in the market, is there pricing pressure?
Jeff Powell : Well, they have – they have quite a mix of products and as is the case with many of our other businesses, the margins vary a fair amount from product-to-product. But, I think it's fair to say on the – when you might imagine on really large projects like this multi-million dollar projects, there is always more competition and more price pressure. So I would say generally speaking, they are really big systems and lower margin and of course the parts in the smaller systems are higher margin.
Chris Howe : Okay. Great. And then, I just want to ask about Europe, the bookings excluding foreign currency, up 9% looked pretty good. But, everything we hear about Europe is bad, slowing down, we see ISM is going down. I wondered, if you'd comment about, like the sustainability of the bookings or the visibility on other projects in the EU.
Jeff Powell : Yes. So, I think I mentioned this a little bit in the last call that, the activity level that we are seeing tends to be in the developing parts of Europe – Eastern Europe, Russia, Belarus, Romania, kind of the developing world is as the standard of living increases there, they have more and more demand for our products.  And so, I would say, kind of the historical Western Europe, definitely is a little slower, right now. The export market clearly has slowed down in Germany. But we are very active in all of Europe and in Eastern Europe, Turkey and places like that. There is still decent activity. So, I would say that our project activity level has been quite high this year in kind of the, what we would call the developing portions of Europe.
Walter Liptak : Okay. Okay, great. And then last one for me, for Mike. Thinking about the pension, is there going to be a lower expense level in 2020 as a result of the change in the pension or is this is – maybe of what that will be?
Michael McKenney : Well, it had been running at about $1.6 million a year, roughly let's say $0.10 or $0.11 cost.
Walter Liptak : Okay, great. So that goes away in 2020?
Michael McKenney : Right. That will go away in 2020. Yes.
Walter Liptak : Okay, great. All right. Thanks guys.
Michael McKenney : You're welcome.
Operator: [Operator Instructions] We have a follow-up question from the line of Chris Howe with Barrington Research. Your line is now open.
Chris Howe : Hey, it's me again. Just following up on Walt's question about the Material Handling order, can you comment on the size of this deal? How does this compare to other customers that are in the market? And at the time of the acquisition, you have mentioned about potential synergistic acquisition opportunities, related to Kadant/Syntron. How does that environment look? And what are you seeing as far as the overall pricing environment for M&A?
Jeff Powell : Yes. So, on the order, it's a larger – it's on the larger side of orders. Certainly, there are projects out there that we are aware of that could be larger than this. But this would be considered a large project – a large order.  As far as the acquisitions, our business development group actually has been spending a fair amount of time with the company, just developing a strategic plan for that and as you mentioned, when we bought the company, we had indicated that one of the things we really liked was the size and the diversity of their markets and the opportunities that that would present.  And I think we are still excited about that. We still see that is the case. And so, we are – obviously, we have known these guys now for ten months. So we're still early in the planning process. But we are working closely with them to develop a plan to grow that business and expand it. Valuations have been high for the last few years and they continued to be high, which makes it more challenging for us because we have a very specific discipline that we adhere to and that we try not to deviate from. So, it's always a challenge for us because of that. But we have been – if you look at us over the years, we have been successful in identifying opportunities and been able to buy companies that what we think are a reasonable return and I expect that, that will be the case going forward, although clearly it's more difficult now, because prices are quite high.
Chris Howe : Thanks so much for the color, Jeff. Appreciate it.
Operator: I am showing no further questions in queue at this time. I'd like to turn the call back to Mr. Powell for closing remarks.
Jeff Powell : Thank you, operator. Before I let you go, I would like to summarize what I think are the key takeaways from the quarter. First, we had good operating performance in Q3 with a strong EPS beat and excellent cash flow.  Second China's economic headwinds and the slowdown in our Wood Processing segment are impacting our business activity. And finally, we are maintaining the high-end of our full-year adjusted EPS guidance range and expect to achieve record revenue and adjusted EBITDA in 2019.  We want to thank you for joining us today and we look forward to updating you next quarter.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.